Company Participant: Bill Christensen - Chief Executive Officer Julie Albrecht - Chief Financial Officer James Armstrong - Vice President Investor Relations
Conference Call Participant: Phil Ng - Jefferies Susan Maklari - Goldman Sachs John Lovallo - UBS Joe Ahlersmeyer - Deutsche Bank Andrew Azzi - JPMorgan Steven Ramsey - Thompson Research Group Alex Rygiel - B. Riley Keith Hughes - Truist
Operator: Thank you for standing by, and welcome to the JELD-WEN Fourth Quarter and Full Year 2023 Results Call. I would now like to welcome James Armstrong, Vice President Investor Relations to begin the call. James, over to you. 
James Armstrong : Thank you and good morning. We issued our fourth quarter and full year 2023 earnings release last night and posted a slide presentation to the Investor Relations portion of our website, which can be found at investor.jeld-wen.com. We will be referencing this presentation during our call.  Today, I'm joined by Bill Christensen, Chief Executive Officer; and Julie Albrecht, Chief Financial Officer.  Before I turn it over to Bill, I would like to remind everyone that during this call, we will make certain statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to a variety of risks and uncertainties, including those set forth in our earnings release and provided in our forms 10-K and 10-Q filed with the SEC. JELD-WEN does not undertake any duty to update forward-looking statements, including the guidance that we are providing with respect to certain expectations for future results.  Additionally, during today's call, we will discuss non-GAAP measures, which we believe can be useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to their most directly comparable financial measures calculated under GAAP can be found in our earnings release and in the appendix of our earnings presentation.  With that, I'd like to now turn the call over to Bill. 
Bill Christensen : Thank you, James, and thank you everyone for joining our call today. I'm pleased to report that our fourth-quarter earnings were better than we expected, and we are making great progress on strengthening the foundation of JELD-WEN. I want to thank all of our employees for their continued dedication as we work together to plan and execute our performance improvement activities.  Today, I'll start by giving a brief overview of fourth-quarter results and discuss some of the actions we've taken to improve our financial performance. I'll then introduce several of our new leaders before handing over to Julie to discuss the financial results in more detail. I'll then return to discuss our transformation journey before providing 2024 financial guidance and taking your questions.  I'll begin with our fourth-quarter highlights on slide four. While sales were in line with our expectations, earnings were above the top end of our guidance, primarily due to solid execution of our ongoing productivity actions. As a result, margins significantly improved year-over-year. We continued to generate strong cash flows, driven by improved earnings and reduced working capital balances.  Lastly, I'm pleased to report that we achieved our 2023 cost savings goals as we continue to remove fixed costs, including site closures and implement additional performance improvements across the business.  At the beginning of 2023, we committed to improving our business. And as I look back at what our team accomplished last year, I'm proud of what we achieved.  On slide five, you see some of the important actions that are driving our improved results. We are focused on streamlining our business and took important steps in 2023, such as initiating our transformation journey, as well as selling the Australasia business.  Next, we prioritize strengthening our balance sheet and using the Australasia divestiture proceeds, we repaid $450 million of long-term debt. We also made significant working capital reductions that were an important part of our strong cash flow generation. All of this delivered a net leverage of 2.5x down from 3.6x at the prior year end. Finally, we have taken significant steps to reduce our cost base, including closing or announcing the closure of five sites. And as I mentioned earlier, we delivered our targeted $100 million of cost savings. As you can see, we take our commitment seriously and we are delivering on what we said we would do.  In the fourth quarter, we continue to strengthen our foundation, a key initial phase of our transformation journey. On slide six, we outlined some of the major actions in our key focus areas of people and performance. As part of our culture and capabilities work stream, we finalized the key leadership behaviors that we believe will support achieving our goals. We're starting a broad training program about these behaviors in the coming weeks targeting 1,600 global leaders.  Another important action was launching our Change Agent Network. This network consists of approximately 300 associates within the organization who are both trusted and recognized by their peers as leaders at all levels. The Change Agent Network will allow us to more effectively share information, gather insights, and provide support for the many projects we have underway.  Switching to performance, we completed an extensive bottom-up planning process that engaged thousands of our associates to generate ideas, followed by a business case and a project plan for each initiative. We have now sequenced these initiatives and are using a disciplined approach to track our implementation progress. Our expectation is that these projects will lead to significant long-term profitability improvements. Finally, we announced or completed the closure of four facilities in North America and Europe. Combined, these closures are expected to drive more than $13 million of annual EBITDA improvement that will phase in over the next 12 months.  As part of our transformation journey, it is important that we have the right people to execute the significant changes we are planning. As you see on slide seven, and as announced on February 7, we recently added several new executives to our senior leadership team.  First, Gustavo Vianna was appointed as EVP and President of Europe. He brings over three decades of experience from various multinational companies. His experience includes operational and commercial transformations, as well as promoting cultural change. Second, Dan Valenti was appointed as EVP, North America Doors and Distribution. Dan joined us from Whirlpool Corporation, where he spent nearly 13 years in leadership roles, most recently as SVP and General Manager KitchenAid Small Appliances. Dan possesses significant commercial, product development, and supply chain experience. His expertise in understanding market dynamics, identifying growth opportunities, and making informed strategic decisions will be extremely valuable to our team. Finally, Matt Meyer has joined us as EVP, Chief Digital and Information Officer. His ex-manager is a digital and information officer. Matt has helped multiple companies advance their digital transformations. His most recent position was EVP, Chief Digital and Data Officer at Driven Brand Holdings, where he was responsible for data technology outcomes for the largest automotive aftermarket services provider in North America. We are confident that these new leaders will be important catalysts in helping us achieve our goals, and I look forward to their insights and expertise.  I'll now turn it over to Julie to discuss the financial results. 
Julie Albrecht : Thanks Bill. Looking at slide nine, our fourth quarter revenues were approximately $1 billion, down 13% from the prior year. This decrease was driven by a reduction in our core revenues due to market-driven volume declines in both North America and Europe. Despite the lower sales, our adjusted EBITDA was $87 million in the fourth quarter, up 11% year-over-year, leading to an adjusted EBITDA margin of 8.5%.  This strong year-over-year margin improvement of 190 basis points reflects solid execution of our productivity actions in areas such as site closures, headcount reductions, freight management and sourcing optimization.  On slide 10, you see that our full year 2023 results tell a similar story as the fourth quarter. Our full year revenue was $4.3 billion, down 5% year-over-year. This decrease was driven by our core revenues as volume mix was lower by 10%, with a partial offset from 5% of higher price realization.  Our full year 2023 adjusted EBITDA increased by 9% to $380 million and margins expanded by 110 basis points to 8.8%. Our full year EBITDA growth was driven by operating cost reductions and positive price-cost results that were partially offset by the impact from lower volumes.  As Bill mentioned earlier, in 2023, we significantly increased our cash flow and reduced our leverage. Turning to slide 11, you see that we generated $345 million of operating cash flow, a $315 million improvement year-over-year, as we had strong operational performance and significantly reduced our working capital balances.  We also substantially improved our balance sheet. Using proceeds from the sale of the Australasia business and our strong cash flow, we reduced our net leverage ratio by more than a full turn to 2.5x at the end of 2023. Our leverage is now within our midterm target range of 2.0x to 2.5x.  As you can see on slide 12, our fourth quarter revenue decline was driven by lower volume mix of 16%, which was slightly offset by 1% of price realization and a 1% positive foreign exchange translation impact. I'll provide additional comments about our North America and Europe volume trends shortly. Additionally, you'll find a revenue walk, including segment details for the fourth quarter and the full year in the appendix of our earnings presentation.  On slide 13, you see that our adjusted EBITDA increased by $9 million year-over-year. Despite significant volume mix headwinds, we generated solid profit contributions from improved productivity, lower SG&A expenses, and favorable price cost. Regarding price cost, we remain focused on pricing discipline as we do continue to see inflation in costs such as labor and insurance.  Moving to our segment results on slide 14, in the fourth quarter, our North America segment generated $748 million in sales, which was a decline of 13% from year-ago levels. This was driven by a core revenue decline of 13% due to lower volume mix of 14%. However, North America's adjusted EBITDA improved to $94 million, which was up 8% year-over-year, while margins improved by 250 basis points to 12.6%. This was due to positive price relative to inflation and strong productivity, which more than offset the negative impact of lower volume mix. In Europe, we generated $273 million in revenue and $16 million in adjusted EBITDA. Core revenues decreased by 18% in the fourth quarter, driven by lower volume mix of 20%. Adjusted EBITDA declined by $6 million from last year, leading to 110 basis points of lower margin. This decline was due to continued weak demand that was partially offset by improved productivity. Now, turning to the market outlook on slide 15 and starting with North America. We expect North America volumes to be down by low single digits in 2024. We anticipate that new single-family home construction will be flat to up slightly during the year. However, the outlook for repair and remodel activity remains uncertain, and we currently expect R&R activity to be down by low to mid-single digits.  In the U.S., high interest rates continue to weigh on consumer confidence and create an affordability challenge. Existing home sales remain at relatively low levels, as people with low interest rate mortgages are reluctant to move. However, this dynamic creates an opportunity for increased new housing starts.  The European market is expected to continue experiencing demand weakness due to the ongoing macroeconomic and geopolitical challenges. Overall, we anticipate volumes in the region to be down by high single digits. Residential construction markets remain soft across Europe, and we anticipate that these volumes will be down by high single digits. Additionally, commercial project volumes are slowing in Europe, and this demand is expected to decline by mid-single digits.  I'll now turn it back to Bill to talk about our transformation journey. 
Bill Christensen : Thanks, Julie. As I've shared in previous earnings calls, we are taking a two-pronged approach to improve our business. As we show on slide 17, in the short term, we are focusing on strengthening the foundation of our business. Our solid 2023 results underscore the significant progress we are making on reducing our operating costs and improving our operational performance. However, our margins are still not where they should be, and we have a lot more work to do. We remain committed to building a strong foundation that supports our future growth.  In addition to the short-term focus, we continue to assess opportunities to grow our business, and we commit to only invest where we have the right to win. While this process is ongoing, we see a lot of opportunity for profitable growth in the years to come.  Turning to slide 18, as I've shared before, my three focus areas are people, performance, and strategy, and our transformation journey is currently focused on people and performance. We are engaging thousands of associates around the world in activities to positively impact both culture and financial results. Our teams have identified, validated, and now sequenced more than 800 initiatives. Related to our culture, we are working to more clearly connect our values to our everyday work. This includes investing more in training about important behaviors, including safety, continuous improvement, and accountability. We are then measuring our progress and getting feedback from our teams. I'll talk more about our organizational health activities on the next slides.  Shifting to performance, our numerous initiatives include a balanced focus on both growth and cost reduction actions. We are working to improve our team strength, processes, and tools within our various commercial activities.  In addition, we continue to right-size our manufacturing network, as well as invest in automation and utilize our scale to streamline sourcing, among many other smaller initiatives across the organization. We are investing more in ourselves as we execute on our solid pipeline of high ROIC projects to deliver improved profitability this year and in the future.  To give you a better understanding of the type of work we're doing, I want to walk through a few examples of specific projects. Slide 19 outlines our focus areas aimed at fostering a more agile culture. After assessing our organizational health index in the first half of 2023, we have honed in on three key areas, communication, training and incentives.  In our global organization, ensuring that important information reaches the right individuals in a timely manner presents a significant challenge. Nevertheless, we are committed to fostering transparent communication at all levels, employing both formal and informal channels.  One method we are employing to improve communication is utilizing our recently launched Change Agent Network. This network comprises approximately 300 individuals within the organization who are empowered to accelerate communication in support of our cultural transformation.  We are also investing in employee development through a variety of training initiatives. These programs cover leadership, change management and technical skills. While some of these trainings take place in formal classroom settings, we are also leveraging on-the-job mentorship for more effective learning experiences.  Finally, we're realigning rewards and recognition across the organization to improve connectivity with both financial performance and targeted behaviors. Simultaneously, we are decentralizing responsibility while improving accountability within the organization.  Now shifting to performance, on slide 20, we show one of the growth-oriented projects we have underway in Europe. An opportunity that we have identified is improving efficiency in our quoting process. Our European team is developing a next-generation CPQ or configure, price, and quote system, that will allow customers to configure their own orders and identify the right JELD-WEN products that fit their needs. The system will then accurately price and provide detailed quotes to customers.  When this project is complete, we will improve our customer service, refine our profit visibility and integrate quotes with our manufacturing systems. To execute this project, we expect to spend approximately $2.5 million in both expense and capital, but anticipate a cumulative EBITDA impact of more than $15 million over the next five years and an IRR of more than 50%.  Moving to slide 21, I want to highlight an initiative that is a first in a series of investments to increase automation in our North America Door facilities. By leveraging proven technology, this project will drive operational efficiencies on our production line and elevate our product quality.  Furthermore, the project will address bottlenecks in our facility, resulting in a substantial reduction in the build cycle duration. This initiative is expected to generate more than $6 million in EBITDA a year once fully ramped up, with an IRR of more than 45%.  Once this work is complete, it will also lead to further opportunities to reduce our network complexity and improve cost to serve. These two performance-related projects are just examples of the over 800 large and small projects that came from our bottoms-up planning process. We expect these projects will lead to a much stronger JELD-WEN with a solid foundation and significantly improved profitability.  I now want to discuss our 2024 guidance. On slide 23, you see our initial guidance for revenue and adjusted EBITDA. We expect our 2024 revenue to be between $4.0 billion and $4.3 billion, as our core revenues are expected to be flat to down 7% compared to 2023. This is driven by the continuing market uncertainty in both North America and Europe, as Julie mentioned earlier in her comments.  We anticipate that our adjusted EBITDA will fall within the range of $370 million to $420 million, driven potentially by lower volumes, which we expect to be more than offset by ongoing productivity improvements. We expect cost savings of approximately $100 million, which is a combination of approximately $50 million of carry-forward benefits from last year's actions and new initiatives that will be delivered this year. At the midpoint of our guidance, our margins are improving from 8.8% last year to 9.5%, a solid 70 basis points.  As we look at the phasing of earnings this year, we expect our first quarter EBITDA to be slightly lower than the same period in 2023 due to anticipated volume headwinds and lower backlogs than we had when we entered last year. However, we expect benefits from our internal investments to ramp up throughout the year and therefore expect approximately 40% of EBITDA in the first half of the year and the remainder in the second half.  I'd now like to provide some information about our cash flow outlook for 2024, which is outlined on slide 24. We expect that this year's operating cash flow will be similar to 2023 before we invest approximately $100 million of non-repeating cash expenses to fund portions of our transformation journey.  In addition to these investments in JELD-WEN's future, we plan to increase our capital expenditures to approximately 4% of sales, to drive costs out of the business and set ourselves up for future growth. As you can see from the examples of projects that I discussed earlier, we are keenly focused on delivering returns significantly above our cost of capital.  All in, we expect our free cash flow to be approximately $50 million to $100 million this year, which reflects both our strong commitment to investing in JELD-WEN's future and our ability to self-fund these investments with planned operating cash flows.  As I wrap up, let's turn to slide 25. I'm excited to continue updating you on our transformation journey as this year progresses. As I mentioned earlier, we take our commitment seriously and we are executing on what we have said we will do. We know that by fixing our foundation, we are preparing for profitable growth when the market improves.  I'm confident that over the next few years, JELD-WEN will deliver significantly improved profitability and return on invested capital. We appreciate your continued interest and I'll now turn it over to James to move to Q&A. 
James Armstrong: Thanks Bill. Operator, we're now ready to begin Q&A. 
Operator: [Operator Instructions] Our first question comes from the line of Phil Ng with Jefferies. Please go ahead. 
Phil Ng : Hey, guys. Congrats on a really strong quarter. And Bill, I really appreciate the color you shared with us today in terms of the transformation journey. It sounds really exciting. 
Bill Christensen: Thanks Pill. Good morning.
Phil Ng : Is there a way to help us kind of think about the productivity savings in the next few years? I appreciate some of these investments you're making and just these training efforts and decentralizing the process is going to take some time to take flight. But help us think through how that perhaps progress, whether it's productivity in the next few years, the growth profile, or maybe even aspirationally, what's a target you aspire to deliver from an EBITDA margin standpoint in a more normalized growth environment? 
Bill Christensen: Yeah. So Phil, thank you for the question. As we look at our transformation, as I shared in my prepared remarks, we have a significant pipeline of projects, so over 800 that we're currently working through. And we've sequenced these, obviously over the next number of years, and there's projects that are dropping.  In ’24 we expect that's going to deliver probably $50 million to the bottom line. There's other projects, one, which we talked about automation in some of our door facilities where we're in the pipeline and ordering the equipment, but that will be installed late in the year, so that will clearly have then an impact in ‘25 and out years.  So it's too early for us to commit to what we see that we're going to deliver in ‘25. We'll clearly have a strong line of sight as we get into the back half of this year. But our expectations is that the project pipeline, based on what we see today, will be ramping up in the out years, but too early to calibrate.  Our message this year, Phil, is we want to overcompensate the market headwinds with our internal actions, as we did last year, and I think we did well. So we're expecting to deliver more benefit than what we're going to lose in sales headwind, but we are expecting a significant pipeline ramp up as we roll into the back end of the year, and we'll be sharing that as we get into, let's say, Q3, Q4 results. 
Phil Ng : Okay, that's helpful. And then when you think about 2024, perhaps maybe a question for Julie. Great to hear that you are expecting price cost to be largely neutral. Can you give us some color on what you are seeing out there from a pricing standpoint? There's been a lot of chatter about the retail channel pressuring their suppliers a little more aggressively on pricing concession. So help us, give us a little context in terms of where you are in terms of negotiations with the retail channel. If there's any line of reviews that we should be mindful of, and then the price cost component. What's price, what's cost, what's baked into your outlook for this year? 
Bill Christensen: Yeah, so maybe I can start at a high level Phil, and then Julie maybe can augment with some details.  So our aspiration this year is definitely to be neutral from a price cost standpoint. I would say at the end of last year, we finally had caught up. As you well know, we were lagging for a while on price, and so we do feel that we've caught up. We still see cost inflation coming at us, even with the down volume. There's labor inflation, there's benefit inflation, there's glass inflation. So there are some key input costs that are increasing.  We're doing our best to offset that, and clearly the aspiration is neutral this year in a pretty demanding, potentially down volume market. Negotiations are ongoing. Some are already complete. So I'd say it's too early to draw final conclusions about where things land, but our teams are doing their work, and we feel comfortable currently giving the guidance that we want to be price cost neutral. 
Julie Albrecht: Yeah, maybe I'll just add a little bit to that. I think top line impact from price is, again, we'd say very neutral, maybe very low single digit type of price increase. Just to focus on the inflation that Bill just mentioned, specific to labor, we really are looking at similar inflationary impacts this year and ‘24 that we saw last year. So call it, kind of 4% to 5% labor increases between North America and Europe as well.  Otherwise, I mean inflation is moderating, but as we all know, there is still inflation in certain aspects of our materials, and again, as we've already mentioned today, definitely labor and related benefits insurance is definitely – really no slowdown there in what we're experiencing.
Phil Ng : Okay. I appreciate all the great color guys. Continue to do the great work. 
Bill Christensen: Thanks Pill. Have a good day. 
Julie Albrecht: Thank you, Phil.
Operator: Our next question comes from the line of Susan Maklari with Goldman Sachs. Please go ahead. 
Susan Maklari : Thank you. Good morning, everyone. 
Bill Christensen: Hi, Susan. 
Susan Maklari : Thanks for taking the questions. Good morning. The first question I want to focus a bit on is your expectation for North America volumes to potentially be down somewhere in that low single digit range. As we think about that coming through, how do you think of the cadence through the year perhaps, and then any thoughts on, the upside from there as we do start to see some of that single family starts or activity coming through? 
Bill Christensen: Yes. So thanks for your question, Susan. Here's from a high level how we're looking at the year currently, and then I'll talk maybe at the end about how we're looking at 1H versus 2H potentially.  So if we break down North America, we got three buckets that are relevant. Two are very relevant. So new construction, single family, that's about 50% of the sales in North America. We're seeing it's flat to slightly up in ‘24.  R&R, which is close to 50% of our sales is down low to mid single, and we do have a small bucket of non-residential or commercial, which is our multifamily business, VPI. That's a very small share, and we're growing well. We expect that market's going to be down double digits. We see ourselves only down high single, because we are gaining share. But again, that's not a material mover for us. We're talking about, less than 5% of total sales.  So really new resi down – or new resi up flat to slightly up, and then on the repair and remodel, down low to mid single. I'd say that there's definitely a view in the market, talking to our customers, retail partners, that, if someone had to pick a half, it would definitely be H2 with a little bit of potential upside. As we look at macro headwinds potentially residing as we move into the back half of the year, with interest rates easing and mortgages becoming a little more attractive, that could do a couple of things. Number one, get some more people into the resale market, and that could trigger some potential R&R upside. But still, current view today is we're not planning on that upside. You can see the high end of our guidance top line is to be flat year-over-year, and that would actually imply slight growth in the U.S. and Europe definitely being down. And that would be, I think – what we're thinking is an optimistic case, given current view, so that's kind of where we are.  Julie can give a little more balance on what the sales is going to look like, H1, H2. 
Julie Albrecht: Yes, sure Bill. Hey Susan. I guess when we look at the phasing of sales through the year, we do see at the midpoint of our guidance one half, a little bit weaker than two halves. So maybe slightly off center of 50-50 there, with one half being a little bit lower. That means that really looking at first half of this year versus first half of ‘23, that's about a 10% decline in our sales, which is, split pretty balanced between North America and Europe.  So we do see, when you look at the comps of this year versus first half second year -- first half last year, a little bit of weakness there. As Bill's already mentioned, our first quarter of ‘23 was a little bit stronger than we'd expected and was stronger than kind of normal seasonality for a Q1 because of that backlog we were bringing into last year. So that does create a more difficult comp specific to Q1.  The other thing I'll go ahead and just mention about first half of this year versus last year and then looking at second half is really margins in the first half of this year we see being relatively flat year-over-year. So despite the lower sales again, of maybe 10% or so, we do expect to maintain margins at around, what was around 8.5% or so in the first half. That means that, a lot of the benefit from the productivity and a little bit of ramp up in sales really does help our margins expand second half of the year. 
Susan Maklari : Okay, that's very helpful color. And maybe building on that a bit, from the commentary, it does sound like those productivity initiatives really have gained some momentum in the last quarters or so. As you think about coming into the year with those tailwinds there and the potential for that second half lift, any thoughts on what (a) improvement in the volumes could mean in terms of some of these initiatives and the way that they could be realized and just broadly speaking, what they could mean for the business and results? 
Bill Christensen:  Yeah, so I mean, if we think about what we're trying to do now, Susan, with getting our foundation in order, clearly it's to create pretty significant operating leverage as the volume bounces back, and the volume will bounce back. Clearly, the U.S. is underbuilt. There's a pent up demand. We know kind of we know what the macro upside is, but this is actually a great opportunity for us to be doing a lot of the homework that we need to get done. And again, the over 800 work streams that we currently have running are balanced over the next three years.  And we're going to see a pretty significant exit run rate ramp up as we move into the end of this year. And so we are expecting that a volume uptick will be clearly good news for us, but that's not controlling what we see in ‘24. We're doing our homework and we're planning on delivering those results to outpace the market headwind.  If things change and surprise everyone in a positive manner, clearly our upside will be more significant. I think we've told you in the past, we see 25% to 30% operating leverage on the uptake. And we've done a good job in the last, I'd say, 12 months of really dialing in our capacity and making sure that our supply chains and our cost to serve are well balanced for the future. So we feel that we're in pretty good shape and still doing a lot of the homework that we need to do, because our margins as I said in my prepared remarks, are still a long way away from where we need to be. 
Susan Maklari : Okay, that's great, color. Thank you both and good luck with everything. 
Bill Christensen: Thank you, Susan. 
Julie Albrecht: Thank you, Susan. 
Operator: Our next question comes from the line of John Lovallo with UBS. Please go ahead.
John Lovallo: Good morning, guys. Thank you for taking my questions as well. The first one is within that 15% decline in core revenue on a consolidated basis in the fourth quarter. Is there any way to parse out the impact of the lower volume versus the negative mix, perhaps on a consolidated basis and maybe even North America versus Europe, if possible? 
Bill Christensen: Yes, so I would say, so a couple of maybe high level comments John, and then maybe Julie can jump in with some detail. So clearly the run rate, if you look at Q4, 14% volume mixed down in North America, 20% in Europe, which I mean, those are pretty significant numbers. And mainly volume, there was not a lot of price in Q4. So really volume was the key driver.  And especially in North America, if you think about a lot of the large retail partners that are balancing their inventories going into their fiscal year end, which is early this year, some of the tight inventories in the market weren't being reloaded. And by the way, we're starting to see some rebalancing of inventories as people start to better position themselves for potential growth in the back half of this year.  So some of the signals that we're seeing are, I'd say, better balancing of channel inventories. And that's why we feel that the run rates that we saw in Q4 are not going to pull through to Q1. We're expecting a bit better traction in Q1.  Julie can share some numbers and some detail that may help underscore that. 
Bill Christensen: Yes, just a little more color on the mix there. Really in Europe that was almost entirely volume. So there was really very little negative mix in that negative 20% of volume mix.  North America, I would say that volume impact was probably more like kind of 11% within that incremental 2%, 3% being negative mix. So again, still in North America heavily weighted to lower volumes, but did have a little bit of negative mix in that region in that fourth quarter. 
John Lovallo: Okay, that's really helpful. And then just maybe moving forward, you gave us the expectation for low single digit volume declines in North America and high single digits volume declines in Europe. Are you expecting any meaningful mix impact in either region in 2024? 
Bill Christensen: Yeah, I would say no. I think it's going to track on kind of what we saw at the back half of last year. If you just think, where is the market in general, I'd say we're mixing down, because the new construction market is tilted towards starter homes and lower price point homes. What we see, especially in January and February, a lot of the projects in Canada that we have, a lot of the projects on our VPI commercial side, also in Europe, which are typically you know better margin profile businesses are being pushed out based on financing constraints that the projects have. So people are still going to run the projects, they are just waiting. So we do think that in general, we are mixing down, which is consistent with what we saw at the end of last year. 
John Lovallo: Great. Thank you guys. 
Bill Christensen: You’re welcome. 
Operator: Our next question comes from the line of Joe Ahlersmeyer with Deutsche Bank. Please go ahead.
Joseph Ahlersmeyer : Hey, good morning everybody. Congrats on the strong finish to the year here. 
Bill Christensen: Thanks Joe. Good morning.
Julie Albrecht: Thanks Joe. 
Joseph Ahlersmeyer : Yeah, maybe moving beyond ‘24, just thinking about the two parts of your North America business, the R&R business and the new construction side of things. Could you talk about, I guess, your views today, multi-year, on which of these end markets provide more upside off of what you deliver in ‘24? And then if you could just also speak to how you feel your manufacturing base, your infrastructure on distribution is agile enough, I guess to handle one outperforming the other. 
Bill Christensen: Yeah. So starting with the second question first, Joe. So I would say that we're definitely cleaning up our distribution model and we're looking at that as we do assess our footprint and our cost to serve our key customers across all markets in North America.  So we're making sure that we're balanced, not to current state, but to what we expect the future state to be. And clearly, based on the light volume, there's been overcapacity in some of our sites in the market as well. So we have taken sites offline as we all know last year, and we're continuing to critically look at cost to serve model. And that is, I think, well balanced to an upswing in the market, because we've been doing a lot of great homework there.  On the other side, as we kind of roll forward and just look at a very high level view, you asked North America, I'm going to just go up a level and say that we clearly expect macro headwinds in Europe to continue into next year. So clearly, the outlook in Europe is definitely weaker in the next couple of years than we would expect for North America. And North America clearly, as I said before, we're underbuilt, we need the units, but there's also going to be a snapback of R&R activity as resales kick in when interest rates come down.  So we do expect both levers to be moving in the right direction. And clearly, we're getting ourselves ready to be able to serve both of those models and make sure that our cost to serve is well balanced. And if we see an increase in volume in ‘25, as many people expect currently in North America, we should have some nice operating leverage that drops to the bottom line.  We're focused on both pillars, traditional and retail, because they are both very important to us. And we're making sure that our cost to serve and our on-time delivery and our quality is meeting customer expectations in both of those segments. 
Joseph Ahlersmeyer : That's really helpful. Thank you for that. And then Julie, on the CapEx guide for this year, I understand the need to invest here. Could you help us maybe think about how long we might be running at this type of level, if it's sort of the new stable state or if maybe next year we see some productivity coming out of the CapEx budget? 
Julie Albrecht: Yeah, I'd say – I think clearly we'd say in the past, JELD-WEN's underinvested in its capital for both growth and efficiency, which again, has shown in the results we've delivered historically. So this year, we've obviously evaluated our pipeline. We're pretty bullish on the opportunities. We'll continue to reevaluate that obviously on an annual basis. But I would expect it to be higher than the past, call it that 2% to 2.5%. And again, if it continues at 4%, I think TBD, but absolutely I'd expect it to be elevated over our historical levels per capital.  The other thing I'll note is, we mentioned in our materials in our outlook for this year that we've got around $100 million of non-recurring cash expenses this year, that I would say we do feel like are unique to this year, and that we'd expect that type of activity to go back to more normal levels beyond this year. And so also wanted to highlight that from a cash flow perspective and investing in ourselves. 
Bill Christensen: Yeah, and Joe, I would just add that, these 800 plus projects, we have high visibility in our system, we're sequencing. As long as we see opportunity to deliver IRRs, 20% and above, we're investing in ourselves, because I believe that is an outstanding return for our shareholders and the right way to deploy capital.  And so I would expect that also next year CapEx would be elevated from a historical run rate if it's the same as this year. We'll have a discussion as we see the portfolio, the maturity and what kind of investments we need to make, but we will be investing and that will continue into next year on the capital side.  Julie mentioned the one-time we'll be out, but we'll still be funding projects that are very attractive and candid. But we just don't have the resource currently to push all of these through the pipeline at the same time. So we're making sure that we're not biting off more than we can chew. 
Joseph Ahlersmeyer : Yeah, makes a lot of sense. I agree with the philosophy there, and thanks for the call out on the one-time expenses. I'll pass it on. Thanks a lot. 
Bill Christensen: Alright, thanks Joe. Have a good day.
Julie Albrecht: Thank you, Joe. 
Operator: Our next question comes from the line of Michael Rehaut with JPMorgan. Please go ahead.
Andrew Azzi:  Hi, guys. This is Andrew Azzi on for Mike. I appreciate you taking my questions. 
Bill Christensen: Hey Andrew. Good morning. 
Andrew Azzi: Good morning. I just wanted to ask maybe on the new single family construction side in North America, at least flat to up slightly, it looks potentially a little bit conservative as compared to maybe some of the larger home builders in terms of a year-over-year percentage increase. And I'm just hoping maybe you can help me bridge that gap, and maybe if there's some upside or conservatism baked in there. 
Bill Christensen: Yeah, well, so there's still a high level of uncertainty, I would argue, in the market in general. Clearly there's some key macro levers that are going to potentially soften the back half of this year, which could potentially improve the reality. But don't forget, we're three to six months behind a start until our products are built in.  First window is to button up the envelope and then doors later in the process. So it takes a while for this to trickle down.  Second point is, we potentially see these starts out there, but it's a lower end. And so we would actually like to see the higher end come back. So the custom and that's a pull through for our wood windows and our premium products. And so clearly, there's some pretty good value appreciation when that market comes back. But clearly, it's way softer than the low end of the market.  So we're, I would say, I wouldn't call us overly cautious. I would just say that we're careful, because there's just so many things that are influencing this market in the current state, and this is our view. If things are better, then I think we'll all be proud and happy to report that as the year goes on. 
Andrew Azzi: Understood. Yeah, I think that definitely sounds appropriate. I guess I'm just curious on the price cost neutral. Is that on a dollar basis or a margin basis? 
Julie Albrecht: Yeah, it's really a dollar basis, which I guess dropped through as really not having much impact on margins. And so yeah, it's – but when we say that, we're definitely talking about, targeting a dollar neutral, close to zero impact on year-over-year changes in EBITDA. 
Bill Christensen: And I would say we've talked, Andrew, on prior calls. There's a couple of things. I mean, we still have a lot of work to do on cleaning up kind of the pricing foundation and making sure that we are doing a better job of being consistent and that's still ongoing. But I'd say on a broader level, the input costs, we want to make sure that we can offset that with price, but nothing more than that. 
Andrew Azzi: Okay, that's all for me. Thank you, Bill and Julie and good luck. Congrats on the quarter. 
Bill Christensen: All right, thanks Andrew. 
Julie Albrecht: Yeah, thank you Andrew. 
Operator: Our next question comes from the line of Steven Ramsey with Thompson Research Group. Please go ahead. 
Steven Ramsey: Good morning. Maybe to hone in on North America repair and remodel activity. Can you talk to how much of your volume depends on existing home sales coming back or what other drivers on the North America R&R side are you looking for to get more confidence and clarity on where volumes could go? 
Bill Christensen: I think that's – Steven, I think that's the big lever. It's roughly 50% of our North American sales. And as we look at retail, there's a couple of things that are important in retail. I've said this before. You need to have the product there, especially if it's cash and carry. There's a couple of different elements that the retail partners are working on. So it's making sure you have the product there if the traffic is in the store.  Second is, they are trying to do a better job of rebalancing inventories as we're coming out of a very tight inventory reality in the last couple of months. And I do see that some of our partners are doing a better job of making sure that there's availability in stores.  And the second key lever for growth, and that's linked, a lot of that's linked to resale. And with every resale, there's some R&R activity, and then there's another resale behind that. So there's just a number of things that are linked together when the resale market really starts to kick in. And I would argue that that's driven by interest rate relief and the people being able to get into mortgages that are closer to where they currently are. And I'd say the second pillar that we're really driving on R&R is the professional growth.  And professional growth is one of those areas where if there's a big cash and carry market and a lot of the customers are already there, there are some products as well that our retail partners believe that that would be a good opportunity for them to take some share on what they call the pro segment. So those are the two things. And pro is not distinctly linked to the new construction or the resale market. 
Steven Ramsey: Okay, that's great color. And then a follow-up on the CapEx range, $150 million to $200 million, somewhat wide range. I'm curious what you are looking for that would swing that to the low or the high end. How much of it is demand versus transformation progress, timing versus equipment delivered, other factors to move CapEx up or down? 
Bill Christensen: Yeah, so it's – number one, it's the ability of our organization to execute on those projects, that is the bottleneck currently. We feel great about the strength of the balance sheet and our ability to self-fund this transformation, which was one of the key things that we wanted to deliver.  There are longer lead times for certain things. And obviously, that's going to also define timelines and our ability to spend and also to deliver and install certain lines and equipment, so I would say we're the bottleneck. I would be pleased if we could spend the upper end of the range. But I think that's going to be a challenge for our organization, because we're coming from a very different reality. 
Steven Ramsey: That's helpful. Thank you. 
Bill Christensen: You're welcome, Steve. And have a good day. 
Operator: Our next question comes from the line of Alex Rygiel with B. Riley. Please go ahead. 
Alex Rygiel: Thank you, and good morning everyone. 
Julie Albrecht: Good morning.
Bill Christensen: Hi.
Alex Rygiel: Could you talk a little bit about industry consolidation and any opportunities or negative impacts that you could see from a more competitive environment? 
Bill Christensen: So in general, we don't want to make comments about competitors. Clearly, we can talk about the competitive landscape. And our main focus is to execute on what we have in front of us to really improve our operating performance.  So we are totally focused on doing that and delivering the appropriate returns. And that means cleaning up our supply chain. That means optimizing our footprint. That means driving growth initiatives. And if we execute on that, which I'm very confident that we will, that puts us in a great position in the market.  I think maybe it's more challenging for the equity analyst environment. There's one less direct comp for us in the market. But we're focused on really ourselves and really delivering what we see we need to do and have a pretty clear view on how we're going to do it and what we're investing to get there. So I think that would be my comment in general.  We're very bullish on the market. It's gone through a tough time and it will continue to be tough in Europe. But it's a great opportunity and we're taking advantage of that to do our homework, clean ourselves up, and really get ready for the rebound, so we can come out pretty strong. So we feel well positioned. But still, we have a lot of work to do. 
Alex Rygiel: And then can you rank the gross margin on new construction versus R&R versus multifamily. And maybe talk a little bit about the headwind in weaker volume anticipated in multifamily as it relates to gross margin impact? 
Bill Christensen: Yes. So Alex, we typically wouldn't share that kind of detail on profit pools across different channels. That's not the kind of detail that we'd provide. 
Alex Rygiel: Fair enough. Thank you. 
Bill Christensen: All right. You're welcome. Have a good day. 
Operator: Our final question comes from the line of Keith Hughes with Truist. Please go ahead.
Keith Hughes : Thank you. The question is on Europe. You've talked about identifying Europe for potentially some strategic actions, and we've got the announcement this morning around that plan. Is Europe in the structure you want it to be with the improvement you are going towards or could there be other potential changes that could come down with time? 
Bill Christensen: Yes. So I would – Keith, thanks for the question. We have stepped up the leadership quality in the European market with the hire of Gustavo, and we're really looking forward to actually accelerating the transformation plans that we have for Europe.  We've said all along, we have strong brands in strong markets, but we have yet to deliver commensurate margins to really validate that case. So the ball is in our court to do that, and that's a challenge that we've accepted and we want to deliver on.  So we have a broad portfolio of projects to improve the profit levels in underperforming markets. And we have also high expectations of margin appreciation, even in ‘24, with continued market headwinds, and I'd say they are a little behind the U.S. from a volume development standpoint. So it will be also a challenging ‘25, at least the start of ‘25. So we need to make sure that we're well prepared for that.  So, no other strategic implications for Europe outside of, hey, we've got to fix the foundation in Europe and get ourselves ready for the profitable growth, which will clearly arrive. It's just going to take a bit longer than in North America. 
Keith Hughes : Okay, thank you. 
Bill Christensen: Alright Keith. Thank you. 
Operator: I would now like to turn the call over to James Armstrong for closing remarks.
James Armstrong: Thank you for joining our call today. If you have any follow-up questions, please reach out and I would be happy to answer. This ends our call today and have a great day. 
Operator: This concludes today's call. You may now disconnect.